Operator: Good day, and thank you for standing by, and welcome to the BAE Systems 2021 Half Year Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your first speaker today, Charles Woodburn, Chief Executive of BAE Systems. Thank you. Please go ahead.
Charles Woodburn: Thank you very much, and good morning, everyone. Welcome to our half year results presentation. We have delivered a strong set of half year results, sustaining the operational momentum from the second half of 2020. We delivered growth across all our key financial metrics, thanks to the outstanding efforts of our employees as we maintained a clear focus on employee safety and program delivery. We have maintained our agile response to the pandemic, adapting to the ever-evolving environment to address and meet our customer requirements. We are pleased with our operational performance, which underlines our confidence in the full year guidance for good underlying top line growth and margin expansion as well as our 3-year cash targets. We are well positioned for sustained growth from current program and franchise positions. And as we look further out, we are ramping up our investments in advanced technologies to deliver capabilities for our customers in the face of an evolving threat environment. Following the decisive action taken to accelerate our U.K. pension deficit payments in 2020, the committed investment in the business, combined with good operational performance, means we are driving enhanced cash generation. This enables us to announce a 5% increase in the interim dividend as well as initiating a new share buyback program of up to GBP 500 million. This increase in shareholder returns reflects our confidence in the outlook and our ongoing focus on a balanced and efficient capital allocation policy of both investing in the business and increasing overall shareholder returns. Let's take a closer look at the operational details and our progress against our midterm goals. We presented this slide in February as we laid out our ambitions for the coming years. I'm pleased to say that we are delivering against these aspirations, giving ever-increasing confidence in the positive evolution of the business by delivering margin expansion and improved cash conversion, which should provide attractive returns for our shareholders. Covering some highlights from the first half. On operational performance, it's a great testament to the business that we can talk about an almost normal delivery given the environment we've been operating in over the last year or so. The Air sector is growing as production moved towards full rate levels on F-35 rear fuse large assemblers, higher Typhoon production revenues and our Australian business continues to expand. Electronic Systems, whose sales are up 26% in the last 3 years, continued its remarkable growth trajectory, driven by the F-35 and F-15 electronic warfare production volumes alongside the integration of the acquisitions, which are performing well. In Maritime, we sustained the performance improvements seen last year. Manufacturing levels increased on Type 26 with the first 3 ships now in production, and we launched the fifth Astute class submarine. In P&S, there is positive momentum, especially around combat vehicle deliveries, which have more than doubled compared to the first half of last year. Cyber & Intelligence had a standout first half with Applied Intelligence delivering a record first half profit, benefiting from heightened demand in the government sector, together with the results of our restructuring efforts. As I outlined in May, increased investment in advanced technology and innovation is fundamental for the business, supporting operational performance, competitiveness, our sustainability objectives and our growth aspirations. We are increasing R&D investment in line with our plans as laid out in that presentation. In addition to ongoing investments and partnerships through our Electronic Systems FAST Labs business, other highlights in the half include: increasing investment in Tempest. And today, we announced the signing of the initial concept and assessment phase contract. In Australia, we committed to increased investment to support the government in the rapid development of a sovereign high-speed weapons capability. And we announced our partnership on hydrogen fuel cell development in the U.S. On competitiveness, we have a number of programs to achieve efficiency and simplification across the group, building on the lessons learned in the last year on working practices and cost savings. We are also bringing data analytics to bear across the group to benchmark and improve efficiency as well as investment in new technology and production techniques to maintain our drive for operational performance and value for our customers. Moving to the portfolio. The U.S. acquisitions are performing ahead of expectations, and we have started construction on the new facility for the GPS business to maintain delivery of market-leading technology. We made a small tech bolt-on enhancing our data and digital capabilities here in the U.K. and sold our stake in one CARES [ sake ] portfolio companies, AEC. As we continue to constructively evolve the portfolio for value creation, we sold the Filton and Broughton sites, generating a good cash result. On demand, we are seeing many countries in which we operate increased defense spending and, therefore, our geographic spread of markets and diverse capabilities is a real positive looking forward. Brad will provide more detail, but it's worth highlighting that order flow remains strong and, in certain cases, customers are contracting earlier than we had expected. As outlined in our May presentation, we have closely aligned our U.S. portfolio with customer priorities and the key focus areas outlined in the U.S. National Defense strategy. The recent budget proposal was in line with our expectations and supports our growth aspirations. The U.S. business now represents around 45% of group sales, and we are prominent on many of the most important long-term defense programs for the U.S. Armed Forces. Our portfolio is diverse and has a breadth of customers and leading capabilities, enabling us to demonstrate competitive advantage in many domains. In the U.K., the publication of the Defence Command Paper was positive for the group with renewed commitments to our major long-term programs in complex warship, submarine and combat aircraft design and build, allowing for long-term investment in these key sovereign capabilities. There was also strong support for cyber. The opportunity pipeline is positive with domestic export and collaboration opportunities identified, and we have capabilities to support our U.K. customer in its space ambitions. In Europe, as a number of nations increase their defense budgets to address the threat environment and move towards their 2% of GDP NATO commitments, we are well placed through our positions on the Eurofighter Typhoon, our shareholding in MBDA and our BAE Systems, Hägglunds land vehicles business in Sweden. We are pursuing a significant number of opportunities in addition to the sizable wins secured in the last year. Our portfolio is well positioned to benefit from increased defense spending in Asia Pacific through our Australia business, which is already set to grow significantly from our contracted positions as well as through export opportunities to the region. Additionally, in our Middle East markets, our long-standing relationships at government and company levels, continued regional instability and the nature of our long-term contracts mean we expect defense and security to remain a priority, and we are progressing a number of opportunities with existing customers. Finally, our sustainability agenda aligns stakeholder priorities with the group's environmental, societal and governance risks and opportunities. Our sustainability objectives go hand-in-hand with improved performance, and we are increasing our ambitions in accelerating our progress. Let me share with you some of the highlights from the first half. We are progressing our program to achieve our target of net zero greenhouse gas emissions across our operations by 2030 and working towards a net zero value chain by 2050, with assessments of the impacts associated with our operations and products as well as opportunities through future technologies and our supply chain. We have joined the Race to Zero campaign, and we are assessing the potential impacts of climate risk as part of our commitment to TCFD reporting. We play a key role in the communities we operate in. By way of example, here in the U.K., as part of the government's flagship youth unemployment program, Kickstart, this year, we are providing placements for young people seeking work, creating a potential pipeline into our apprenticeship and graduate programs. And in the U.S., we are supporting the Thurgood Marshall College Fund and race forward to support their efforts to advocate for historically underrepresented communities. This progress on our sustainability agenda has been reflected with an improvement in our CDP score, and we have maintained our class-leading AA rating with MSCI. We will give a fuller update on our sustainability agenda at an investor event in October. I'll now hand over to Brad for the financials. Over to you, Brad.
Bradley Greve: Thanks, Charles. Good morning, everyone. I'll lead off with the financial headlines and then cover results at group level before moving to guidance and capital allocation. The strong set of results for the first half of the year is evident across all the key metrics, especially on a constant currency basis. I would like to take this opportunity to thank our teams for the great work they continue to do. Demand for our products and services remains buoyant. This is reflected in the double-digit increase in orders. Our backlog is now GBP 45 billion and provides a strong basis for continued top line growth. Sales improved by 5.7% on a constant currency basis, reflecting the continued operational momentum through the first half and strong contributions from our newly acquired businesses in the U.S. Profit at the half year of GBP 1.028 billion was 27% up over the last half year on a constant currency basis. And the 10.2% EBIT margin is above pre-COVID levels achieved at the half year in 2019. Our sharp focus on liquidity drove another strong free cash flow performance for the half, which came in at GBP 461 million. This keeps us firmly on track to deliver both our end year and 3-year rolling cash targets. We are proposing an interim dividend of 9.9p, up 5%, and we are commencing a buyback of up to GBP 500 million, reflecting the strong results and our confidence in prospects going forward. I'll speak more about the buyback in a moment. Detailed comparisons for the half year period are shown here. For reference, the dollar rate averaged $1.39 compared to $1.26 last year. This 10% deterioration naturally adds headwind effects on the reported numbers. I already touched on the first few rows, but I wanted to call out a few additional items here. As a reminder, we moved from EBITA to EBIT as our profit measure this year as we feel EBIT is a more comprehensive measure of profit. Strong operational performance and continued recovery from the global pandemic resulted in the 25% improvement in underlying EPS, which is at 21.9p for the period. The settlement of certain tax issues resulted in the release of tax provisions, leading to a one-off 2.9p gain, bringing reported EPS to 24.8p. The tax rate at the half year was 18% compared with 19% last year and excludes the above-mentioned provision release. On pension, the group share of the accounting deficit improved significantly since the end of 2020 with the deficit falling 46% to GBP 2.4 billion, driven by a combination of asset performance and higher discount rates. On technical provisions basis, the U.K. schemes are around 98% funded. And as a reminder, we completed all of our lump sum U.K. deficit payments under the existing funding arrangements last year. Moving to key group financials, starting with orders, where we booked GBP 10.6 billion of new business, up 13% over the first half last year. The U.S. order volumes delivered a 1.1 book-to-bill ratio. There were key orders on multiple electronic warfare programs and strong demand for our precision strike and C4ISR capabilities. The Netherlands CV90 order led the way for Platforms & Services, while notable orders were booked in Ship Repair and I&S. In the Air sector, the GBP 2.7 billion of orders included the initial Tempest concept and assessment contract, along with further awards on F-35 and continued good demand in Australia and MBDA. Our Maritime business received contracts under the U.K. MOD's Future Maritime Support Programme, ongoing Dreadnought funding and our U.K. land business received a flowdown of work to the RBSL JV for the Challenger 3 main battle tank program. Applied Intelligence contributed a further GBP 368 million. Sales for the half at just over GBP 10 billion were up 5.7% on a constant currency basis. The reported increase of 2% reflects the headwind from the stronger pound. For ease of presentation, I will focus on the constant currency comparisons going forward as these are a better reflection of performance. In Electronic Systems, growth was over 6% compared with half 1 '20. Strong contributions from the acquisition were partially offset by the COVID impacted commercial avionics business. The sector has a second half sales weighting and remains on track to grow 10% to 12% at the full year. Platforms & Services business grew modestly. Combat vehicle volumes more than doubled compared with the same period last year, but U.S. Ship Repair and M777 sales to India reflect the impacts of COVID, which held back overall sector growth. Their sector grew by nearly 6% on F-35, Typhoon support and upgrade activity and the continued ramp in production on the Qatar programs. Australia sales improved by over 20%, led by the Hunter ramp-up. Our Maritime business grew by 10% as the 2020 half year was significantly impacted by COVID. Activity on Dreadnought and Type 26 continues to climb, while elevated support services associated with the deployment of the U.K. Carrier Strike Group delivered further growth. Within Cyber & Intelligence, Applied Intelligence was stable as double-digit growth in the government division was offset by the fact that half 1 '20 included a contribution from the now disposed commercial businesses. Our U.S. Intelligence & Security division was up by 1%. Group EBIT at GBP 1.028 billion was up significantly on last year when activity was affected by the global pandemic. Return on sales at 10.2% was 170 basis points higher compared with the same period last year, but was also improved over half 1 2019, reflecting our progress on margin expansion. Electronic Systems delivered a return on sales of 15.6%, up 270 basis points on strong operational performance and good contributions from the acquisitions. Platforms & Services margins continue to be affected by the COVID impacts and operational challenges on ship repair. We expect the sector to deliver material margin expansion in the second half, resulting in full year results in line with original guidance. The strong improvements in the Air and Maritime sectors reflect the emergence from the pandemic and good program execution. Air margins expanded by 140 basis points to reach 10.6%, while Maritime improved by 180 basis points at 9%. Cyber & Intelligence margins expanded by 350 basis points, led by a strong showing in Applied Intelligence, which benefited from high utilization in the government sector and cost base improvements. At the headquarter level, improvements were realized as Air Astana returned to profitability. There are further sector details for you in the backup materials. Operating cash flow of GBP 694 million increased by GBP 574 million over the first half of 2020. Electronic Systems and Air delivered higher conversion levels at the half year through good working capital management and program execution. Platforms & Services had a modest outflow, having benefited last year from customer-related COVID actions. The first half 2021 cash flow P&S reflects a more normal cash cycle within the sector. Within headquarters, the GBP 346 million improvement was driven by the sale of the Filton and Broughton facilities and the absence of lump sum deficit pension contributions. The strong results for this half year underline our confidence in both our end year and 3-year cash guidance. The movements in net debt are shown here, starting with the opening balance of GBP 2.7 billion. The improved free cash flow of GBP 461 million and M&A disposal proceeds offset the dividends paid out to shareholders and minority interest holders to leave net debt broadly unchanged at the half year. Our guidance issued back in February assumed a rate of $1.35. Our results up to the half year have been reported at an average rate of $1.39. So while the pound has strengthened, we still expect group sales to grow between 3% and 5%. If these higher rates persist in line with half 1 averages, sales would likely be at the lower end of this guidance range. However, on underlying EBIT and EPS, given the strong operational performance to date, we expect to be able to deliver on the originally guided ranges, plus 3% to 5% on EPS and plus 6% to 8% for EBIT, even if half 1 average rates persist, meaning this is actually an improvement above original guidance. Similarly, on the cash targets, while the higher pound creates a headwind, we are confident that we could still deliver in excess of GBP 1 billion free cash flow this year, even excluding the benefit of the facility sale mentioned earlier. We also expect to achieve our goal of generating an excess of GBP 4 billion over the 3-year rolling period. Finally, I'll turn to capital allocation and the buyback program we announced this morning. As you have seen, our business enjoys a healthy backlog. We are growing our top line, we are expanding margins, and we are increasing our cash delivery. We continue to prioritize growing our business by investing in R&D, as Charles has outlined. Thereafter, there are 3 potential uses for the resulting free cash flow. First, we recognize the importance of the dividend and have announced another increase for this half year period, in line with our stated policy to operate with sustainable cover of around 2x earnings. Second, we will continue to look for opportunities to grow the business through value-enhancing M&A. Our 2 acquisitions in the U.S. last year are excellent examples of this. Third, as we said in February, we will also consider returning surplus cash to shareholders through buybacks when appropriate. To that end, I am pleased to report that the Board has approved a new GBP 500 million program to be completed over the next 12 months, which will commence immediately. So in summary, a strong showing in the first half with guidance maintained on sales and improved for earnings for full year despite the currency headwinds and a healthy growing business focused on value creation for all stakeholders. I look forward to speaking to many of you in the coming weeks, and I'll turn it back over to you, Charles.
Charles Woodburn: Thank you, Brad. So pulling everything together, while geopolitical and COVID uncertainties remain, the fundamentals of the business are strong. These half year results give a firm indication of what this business can achieve and our overall direction of travel. Our large order backlog, contracted program positions and pipeline of opportunities together with our focus on program execution position us to grow our sales profitably and increase cash conversion in the coming years. We are evolving this business to have an appropriate sustainability agenda embedded at its core with a constant focus on operational performance and value creation. As we have demonstrated, higher cash generation gives us increased strategic flexibility to focus on technology aligned with our customers' evolving priorities, and enables us to deliver increased returns to shareholders. So all in all, another positive half, delivering on our commitments and aspirations. Thank you for listening. With that, we shall turn it over to questions.
Operator: [Operator Instructions] Our first question comes from the line of Robert Stallard from Vertical Research.
Robert Stallard: A couple of questions from me. First, I wanted to follow up on Brad's comments there about capital allocation. It sounds effectively like M&A is, to some extent, the pacing item here. So if you have M&A, you won't be able to potentially do further buybacks. So can you comment about what the pipeline looks for M&A and your capacity for additional buybacks after this GBP 500 million move here? And then secondly, on Tempest, you mentioned you got that contract today. So good news there. But I was wondering if you could talk about whether you're still looking to adding additional partner countries to the team and whether we're past the point of no return of potentially merging with the European FCAS program?
Charles Woodburn: Maybe I'll just do Tempest first and then hand over to you, Brad. I mean, on Tempest, there are conversations going on with other potential partners at the government level. I can't go into much more detail on that. And it's fair to say that we're not past the point of no return as it -- with regard to any particular partners at this point. There is still -- the window is open. Probably for the next couple of years, the window is still open. And Brad, do you want to...
Bradley Greve: Yes, Rob. So you've kind of heard me go through the hierarchy of how we're thinking about capital allocation. Our first priority is to make sure we're growing the business with increases in R&D, and you've seen us invest that in places where we get really strong returns. Electronic Systems is the dominant recipient of our self-funded R&D programs and CapEx as well. We did make sure that we're investing in modernizing our facilities that generate better efficiencies as we work through programs of the future. And so that -- those 2 investments are critical. Then we look at the dividend, and you've seen us increase the dividend 5% for that interim period. Last year was the 17th year in a row we increased dividend, so we recognize the importance of that dividend. And then you get to the M&A point that you raised. And certainly, we're very pleased with the acquisitions that we did last year. Those are actually above expectations. They're accretive to our margins, accretive to sales, accretive to cash. They're doing everything that they thought they would do in more. So we -- with the improvement in the pension deficit in particular and the cash -- growing cash profile of the business, we're looking at a very, I think, strong balance sheet. We have plenty of capacity to do more M&A. And we do have a pipeline that looks quite interesting. And we will certainly explore that space when it makes sense and when we have value-creating opportunities, and we do see some of those. And then that leaves buybacks, which, as you've seen us do today, we're quite pleased to be able to use that as part of the tool kit. And that's how we'll think of it going forward as well.
Operator: Our next question comes from the line of George Zhao from Benstein.
George Zhao: I guess, first question. Does the buyback announcement have any incremental implications on the funding requirements as you approach the triennial review next year? And second question would be, I guess there's been some press reports regarding the Hunter Class Frigates potentially being delayed on the start of construction. And could you just comment on the key issues you still need to resolve it? I guess what does that mean for the expected revenue ramp-up for your Australia business?
Charles Woodburn: So on buyback, let me hand over to you to do that, Brad.
Bradley Greve: Yes. So George, there is a contribution that we'll make into the deficit linked to the buyback. So it will be about 10% of the final buyback value that we'll put into the deficit, and that's something that we agreed with the trustees. And so that's what we'll do there.
Charles Woodburn: And then on Hunter, I mean, like a lot of the big programs, there has been some COVID impact. But like all big programs, we trade profit at very low rates in the early parts of the program. So whilst there might be some ongoing -- looking at exactly what it means to milestones and so on and so forth, I'm not expecting there to be a significant financial effect associated with that.
Operator: Next question comes from the line of Andrew Humphrey from Morgan Stanley.
Andrew Humphrey: A couple on Electronic Systems, if I may. The indication that you've given for full year revenue of 10% to 12%, it's obviously some way ahead of the 6% organic in the first half. Can you give a bit more detail on the opportunities you see there that make that full year target feasible? And how does that roll forward into 2022? And secondly, still on Electronic Systems, I think the margin was a little way ahead of where people were expecting for the first half. That's obviously a very strong performance, particularly given the shift in profit methodology. Maybe a bit more detail on the key drivers of margin there.
Charles Woodburn: So Andrew, we do have the benefit of Tom on this call, who's dialed in early from the U.S. So Tom, do you want to take those questions on ES?
Tom Arseneault: Very happy to thank you, Charles, and thank you, Andrew, for the question. Electronic Systems, a bit of timing is what's driving the first and second half bias. But also as we look at the effects on the commercial business, the commercial avionics business, in particular, if you think about the first half of 2020, you had a full quarter of pre-pandemic levels. And then obviously, the pandemic affected in it the second quarter. Compare that to this year, where we're just starting to see it come back here in the second quarter, quite happy to see that leisure travel in the U.S. has been on the climb. And so comparing the 2 from a commercial standpoint, it drives the first half down a bit. But we expect that to return in the second half. Combine that with some of the sort of traditional timing issues, ES tends to be a second half biased business, and that drives the sales profile. As to profit, we did see better-than-expected return of some of the aftermarket in the second -- or the second quarter of the first half year in 2021. Combine that with the margins from the acquisitions playing through here for the first time in full -- this half, that drives a better-than-expected margin performance. Thanks for the question.
Operator: The next question comes from the line of Charlotte Keyworth from Barclays.
Charlotte Keyworth: Just a quick one for me on guidance. I mean you had a very strong half. And obviously, if the dollar stays where it is, we've got a kind of 2% FX headwind. So given you've had strong first half operational performance despite COVID impact across all divisions, I guess, the question is whether you could actually do a little bit better than netting that off? I mean, are you being conservative by not raising full year guidance a little bit today? And I just also wonder what the baseline assumptions you're making in H2 for COVID are.
Charles Woodburn: I think Brad is going to pick that one up.
Bradley Greve: Yes. I think so. The second half of the year, we do see a progression in sales, and that's across all the sectors. We'll see probably double-digit increases in sales, H2 to H1. And on margin, broadly, we should get a small pickup H2 margins as a group versus H1. There are some moving parts, and there's some back-weighting and self-funded R&D in the second half of the year and just some of the risk retirements in the first half compared to sort of growth coming in the second half from programs in there that are in early stages, so it traded at prudent margins. So there's a lot of the sort of timing issues that are at play here. But we do see the second half of the year and on the top line, improving significantly, and we expect margins to improve a little bit from H1 levels.
Operator: Next question comes from the line of Chris Hallam from Goldman Sachs.
Chris Hallam: So 2 questions from me. First, on Type 26, maybe just a bit of housekeeping. Where are total global combat ship revenues expected to be this year across Maritime and Air? And where should we see that trending towards, as both Canada and Australia ramp-up? And then given that we've seen Type 45 getting some extra content added recently, is there potential to see the U.K. customer upscoping Type 26 or pulling forward the entry into service? And then secondly, on tax, 18% this year, but obviously, the outlook is for higher rates both in the U.S. and in the U.K. So can we just assume that we can wait those rates or the rate hikes by your sales exposure across those 2 geographies? Or are there any specific nuances that we should be aware of? And what group tax rate are you using for your medium-term planning?
Charles Woodburn: Brad, do you want to do the tax first?
Bradley Greve: Yes. Obviously, a lot happening in the tax world these days. We -- you can see in the U.K., obviously, there's a budget announced with the rate going up to 25% kicking in, in 2024, 2023 rather. And then you see the U.S., I think we can all expect an increase there. We're sort of modeling around 25% as a house assumption on U.S. tax rates. So I think next year, you're going to see an ETR in the low 20s. And I think you'll see it picking up as the U.K. rates kick in. So we're on a glide path to mid-20s. I don't think we'll get there next year or the year after that, but probably about '24 '25, it's logical to assume that we should get thereabouts.
Charles Woodburn: And then on Type 26 and related Hunter activities across the group, it's about GBP 800 million at the moment. And that is -- it grows slowly over time as those programs mature.
Chris Hallam: Okay. And any scope -- sorry, Charles, just to add on, any scope for that to be pulled forward? I think there was talk about bringing the Type 26 into service earlier. Does that impact revenue recognition or trading at all on that?
Charles Woodburn: I mean, I wouldn't say -- I mean the potential to bring things in earlier given some of the COVID challenges that we've had, it's quite a tough ask, but obviously, we'll look and see what we can do on that.
Operator: The next question comes from the line of Jeremy Bragg from Redburn.
Jeremy Bragg: A couple of questions for me, please. Firstly, a question on confidence in the margin recovery in the second half for P&S U.S., please. So one for Tom. And then coming back to the question on capital allocation, please. I mean is it fair to think that basically we can take your cumulative free cash flow target for the next 3 years, deduct the regular dividends, and that's effectively what you have to spend on M&A or more buybacks? Or am I being sort of far too optimistic here and missing something, please?
Charles Woodburn: Very good. So let's hand the first one over to Tom on the P&S margin recovery in the second half. Tom, can you pick that one up, please?
Tom Arseneault: Thank you, Charles. Thank you, Jeremy. So if we look into the second half number of drivers here, first of all, really solid performance of the business. I have to say, very pleased with the performance of the combat vehicles team. It's been a subject of discussion now for a number of earnings calls. They have demonstrated remarkable resilience over the past 12 months [ with regards to a ramp ], doubling the number of vehicles off the line, and they're coming down the learning curve steadily. And so as we see that the opportunities come down that learning curve, despite the fact that COVID slowed the ramp down a bit, we see some good signs of margin expansion across the vehicle programs there. We expect that to continue and particularly as they convert to full rate production over time. Some of that, unfortunately, was offset by the Ship Repair performance that was mentioned in the upfront remarks. Ship Repair saw some of the highest case rates during the pandemic, that's rippled through a few of our more challenging fixed-price programs in the yards. These are stabilizing. We expect the business to return to a traditionally steady performance in the coming months. And then finally, commercial. I mean, as we continue to experience a more accelerated upswing on -- in commercial air travel here, particularly domestically, we'll see those margins return in the second half as well. And then just the bias of first to second half sales, that volume will bring additional profit with it. So I think that's it in summary, Jeremy. Thank you.
Bradley Greve: Jeremy, I'll take your question on capital allocation. And yes, I mean, you obviously have the free cash we're generating. We have a dividend that comes out of that. And then there's cash capacity for M&A, but also I think with our strong balance sheet and where our leverage ratios are, we were generating EBITDAs that are greater than our net debt today. So we have further capacity to bring debt to M&A if we wanted to. So I think you can -- as you described it is about right, but I actually think we have more capacity than what you described if we wanted to do something bigger on M&A.
Jeremy Bragg: Just on the basis the EBITDA is growing and therefore, your net debt-to-EBITDA ratio is declining on a constant debt basis. And can I follow on and ask conceptually, how you think about these buybacks? I mean, do you have a -- I mean, in the past, you talked about the kind of dividend saved has been the methodology when you think about valuing your own stock. So could you sort of update on that? I mean are you buying back at any price? Or are you price sensitive? And if so, how do you think about it, please?
Bradley Greve: Yes. I mean we'll obviously take into account a lot of factors when we look at future buyback decisions. The first being where are we in that hierarchy that I described earlier, and if there's enough cash left over and the situation is appropriate for us to do a buyback. It needs to be at the right price. So we'll certainly consider all of those things. And as you've seen us do today, all those factors made sense.
Jeremy Bragg: Okay. And just to clarify, it's your full intention to do GBP 500 million of buyback because you have up to in the wording, that's just a legal thing, right?
Bradley Greve: Yes. Our intention is to execute the program.
Operator: Next question comes from the line of Nick Cunningham from Agency Partners.
Nick Cunningham: First, on the U.S. again, but looking slightly further out, you're obviously growing very well now, particularly in electronics and armor. The sort of received wisdom is that as you go into outer years, the outlays flatten off, particularly capital. But your colleagues at Lockheed seems to be contradicting that earlier in the week. And they're saying that they now see a positive inflection, albeit it might take a few years, driven by sort of great power conflict and developing technology and the military 5G and so on. And that will be really quite a key change to be looking at gross rather than flat to down. How -- do you share that optimism? Do you see it working out that way, too?
Charles Woodburn: Tom, do you want to pick that one up?
Tom Arseneault: I will. Thank you, Charles. Thank you, Nick. I mean it's very difficult to predict the future, as you know. But I do share the view that we're at an inflection point as a sort of across the world in terms of the threat profile. It's something we haven't seen in some decades. I think there is sentiment around the need to ensure there's an appropriate investment in order to deter that threat. And so we -- I would share the view that there would be some continued consideration for upward motion in the budget in the long run. I think here in the near term, we're continuing to expect relatively flat outlays. However, as we've worked and as said before, to align our portfolio more to the services priorities as they relate to the National Defense Strategy, I think that bodes well for us. As Brad mentioned, record backlogs in the business, and we hope to see that play through. And we'll see how the budgets come out when the full FYDP is released next year.
Nick Cunningham: Just a follow-up on that. Do you see that inflection applying equally to the 2 really quite different pieces of your main business, i.e., the technology and in electronics and the platform side of [ armor ] ?
Tom Arseneault: I think that remains to be seen. I think the threat is multifaceted. And as you think about the Russian threat into Europe, we've seen an uptick on the combat vehicle side. In fact, we've got some 1,100 vehicles in backlog here in the U.S. and another 400 in Europe lined up for either upgrades or new production out of the Hägglunds business here. You've seen the European countries, some additional investments in defense there. And so a good opportunity. And then clearly, on the technology side, where we've done a lot to work our alignment with defense strategies in places like full spectrum EW, restoring all domain operations, space, those are good areas of opportunity for growth in the future. So we like the portfolio and we like [ Hägglunds ]
Operator: And the next question comes from the line of Christophe Menard from Deutsche Bank.
Christophe Menard: Yes. I have 2 questions. The first one on P&S U.S. and the current fiscal year 2022 discussions. Are we seeing an incrementally better situation for the U.S. Army in terms of discussion? Or are we at the same stage as the one we discussed back in May? That's the first question. The second is on Applied Intelligence. We've seen a marked improvement in performance in H1 with the book-to-bill also improving quite remarkably and, I guess, profitability as well. How sustainable is it? I mean should we think of this as with the visibility of at least 4 years, in line with the 4-year spending plan in the U.K.? Is it something that we should now assume as, I wouldn't say a given, but a much better or an improved profitability for this division?
Charles Woodburn: I'll maybe just do the Applied Intelligence and then hand over to Tom, obviously, for the P&S discussion. So Applied Intelligence, we actually believe that this is sustainable and possibly with more to come on that front. You will have seen in The Integrated Review how cyber was a very common cross-cutting theme. And obviously, that plays into one of the great strengths of our Applied Intelligence business. And we think, therefore, underpins continued both improvement, but also sustains those margins into the midterm. For P&S, I'll hand over to Tom again. Do you want to pick that one up in 2022 discussions?
Tom Arseneault: I will. Thank you, Charles. And so I mean the FY '22 [ spending ] bill has a few committees to get through here in the U.S., [ it will come up ] in the coming months. But as we're reading the tea leaves, it looks like the combat vehicle side of the portfolio will fare well and there have been puts and takes as there have been in many areas of the budget. But for example, on the amphibious combat vehicle side, we see an increase in the budget expectations there. AMPV, as expected, reflecting the sort of flattened-out ramp during COVID, and so good budget support there. And then the balance of the program is well supported. And so we think it bodes well for -- as FY '22 plays out. And so I'd say moderately better confidence than the last time we talked about in May. Thank you.
Operator: And the last question comes from the line of Andrew Gollan from Berenberg.
Andrew Gollan: A couple of questions, please. Firstly, for Charles. During the call just now, you talked about a strong pipeline of opportunities across everywhere, actually, U.K., Europe and rest of world. So maybe could you just spend a couple of minutes just outlining the key big ones and potential timing there? Second, probably for Tom, on the F-35, again, you talked about hitting peak rates there. Lockheed are indicating a delay in reaching their peak rates and rebaselining. And that's down to COVID, it's down to negotiating for Block [ buy ] and sustainment on all the complexities there. So maybe you could just explain how BAE thinks with Lockheed Martin, please?
Charles Woodburn: Very good, Andrew. So I mean, I think the point I was making was that our geographic spread and portfolio, I think, positions us well as I look forward. You've got a multiyear defense spending settlement, which was better than many people expected here in the U.K. You've got Australia in a position of increasing their defense spending by 40% over the next 10 years, given the nature of the regional threats and sort of investment in post-pandemic and jobs. And we're very well positioned in Australia. And then we've also got the European opportunities. I mean the pressure to reach the NATO commitments of 2%. That is now -- we are seeing that come through and some of the strength of the orders that we saw at the back end of last year and the first half of this year in terms of CV90s out of Hägglunds upgrade programs or new vehicles, and then the Quadriga Typhoon order. And we think there will be more European orders for Typhoon, either additional Typhoons into Germany or potentially Spain. Looking at that, and we're also bidding into Finland, as you know. So a range of opportunities on top of what is already a very formidable business in the U.S. that we've already spoken a fair bit about on this call. So I'll maybe leave it there and just hand over to Tom to pick up on the F-35, as you suggested. So over to you, Tom.
Tom Arseneault: Sure. I mean, we are -- we remain in lockstep with Lockheed Martin. I'll say that as part of their supply chain, I mean, it's traditional for them to kind of buy ahead of need. We are expecting a peak sometime next year, but we also have the benefit of the Block 4 upgrades eventually play through and result in additional production that would add to our sort of original build peak. And that work will be heading into retrofits of existing aircraft, right? And so it won't be as much a function of aircraft coming off the line as it will be to go back and upgrade the technology in some of the many existing jets. And so between the 2, we still expect to experience some continued growth in that area in the coming. I hope that's helpful.
Charles Woodburn: Very good. Thank you for the question, Andrew. I think that brings us to an end on the questions. I'm just confirming with the operator.
Operator: Yes, there are no further questions. Please continue.
Charles Woodburn: Very good. Well, thank you all for joining. And I know I'll be talking to many of you -- we will be talking to many of you in the coming weeks as we get out on the virtual road show. Thank you all.
Operator: Thank you, speakers. That does conclude our conference for today. Thank you all for participating. You may now disconnect.